Operator: Greetings, and welcome to the Innovid Q4 2023 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brinlea Johnson, Investor Relations. Thank you, Ms. Johnson. You may begin.
Brinlea Johnson: Thank you, Operator. Before we begin, I remind you that today's call may contain forward-looking statements and that the forward-looking statement disclaimer included in our today's earnings release available on our Investor Relations page also pertains to this call. These forward-looking statements may include without limitation, predictions, expectations, targets or estimates regarding our anticipated financial performance, business plans and objectives, future events and developments. Changes in our business, competitive landscape, technological or regulatory environment and other factors could cause actual results to differ materially from those expressed by the forward-looking statements made today. Our historical results are not necessarily indicative of future performance. And as such, we can give no assurance as to the accuracy of our forward-looking statements and assume no obligation to update them, except as required by law. In addition, today's call will include non-GAAP financial measures, including adjusted EBITDA, adjusted EBITDA margins, and free cash flow. We use these non-GAAP measures in managing the business and believe they provide useful information to our investors. These measures should be considered in addition to, and not as a substitute for our GAAP results. Reconciliations of the non-GAAP measures to their corresponding GAAP measures, where appropriate, can be found in the earnings release available on our website and in our filings with the SEC. Hosting today's call are Zvika Netter, Innovid's Co-Founder and CEO; as well as Anthony Callini, Innovid's CFO, both of whom will participate in our Q&A Session. I'll now turn the call over to Zvika to begin. Zvika, please go ahead.
Zvika Netter: Thanks, Brinlea. Thank you all for joining the call today. I'm excited to share the progress Innovid has made in the past year. We provided critical technology infrastructure for many of the world's largest brands, agencies, and publishers. We empower them to create, deliver, and measure ad-supported TV experiences that people love, across connected TV, linear TV, and other digital channels. And we continue to push the boundaries of what's possible in the fast-growing CTV industry through constant innovation on our enterprise software platform. We're very proud to close up a transformational year with a strong fourth quarter, beating our guidance for both revenue and adjusted EBITDA, evidence of what we expect to achieve in 2024, and beyond. Today, I'll review our fourth quarter results and full-year highlights, provide some recent business updates, and share some thoughts on the year ahead. I'll then turn it over to our Chief Financial Officer, Tony Callini, who will provide further details on our Q4 and full-year financials, in addition to our 2024 guidance, followed by Q&A. I am pleased to report fourth quarter revenue of approximately $39 million, reflecting 15% of annual growth and adjusted EBITDA of $8.3 million, which more than doubled year-over-year, resulting in a 21% adjusted EBITDA margin. Our operation profitability continues to increase as we generated $2.2 million in positive free cash flow this quarter. For the full-year, we reported revenue of $140 million, reflecting as reported 10% growth, and adjusted EBITDA of $19.4 million, a 14% adjusted EBITDA margin. We also generated $1.4 million in positive free cash flow over the full-year, a $23 million improvement from 2022. We're proud of our financial performance in 2023 with improved revenue and adjusted EBITDA which exceeded guidance each quarter throughout the year. 2023 was an important year not only from a financial standpoint but also from an organizational perspective. Given our strong conviction in the business, we strengthened the executive team with the best possible talent to drive and accelerate our growth and market position. We hired Dave Helmreich as Chief Commercial Officer, Anthony Callini as Chief Financial Officer. We also promoted Yuval Pemper to Chief Technology Officer, and Ken Markus, Chief Operating Officer. Most recently, we welcomed Dani Cushion to the team as Chief Marketing Officer. Dani brings a wealth of experience in leading marketing organizations in both public and private technology growth companies. We are really excited about the new additions to our team, who are already making an impact. Additionally, we reorganized the sales organization to drive accelerated growth in 2024. The commercial team has been focused on increasing wallet share from existing clients, adding new logos, and deepening our relationship with our most strategic clients. In the fourth quarter, we won new customers such as Philips for dynamic creative optimization in ad serving, Rain the Growth Agency for ad serving across their client portfolio, and Nexstar Media for measurement. We also expanded existing customer relationships this quarter. For example, PetSmart, an ad serving client, added our measurement solution in Q4. In addition to these recent fourth quarter wins, we had a number of top global brands join us as clients throughout 2023, including Mazda U.S., Microsoft, Revlon, and Verizon, to name a few. As a result of our focused execution, we reported accelerating revenue growth and improved operation profitability in 2023, compared to last year. More specifically, Innovid CTV revenue from ad serving and personalization in the fourth quarter grew 14% year-over-year. InnovidXP, our measurement offering, grew 14% in the fourth quarter, and represented 22% of revenue. We are pleased with the ramp up in measurement as we continue to extend usage, and we are optimistic about our growth prospects as we go to market with measurement as a critical piece of our comprehensive ad technology platform. I am very proud of all the team accomplished this year. Despite the macro and geopolitical challenges, we made significant operational, strategic, and financial improvements to our business. Looking ahead to 2024, we see two key trends, which are meaningful accelerators for CTV adoption and ad spend migration. First, more and more streaming platforms are implementing ad-supported offerings as subscription-only models have proven unsustainable. Just this past month, Amazon Prime Video introduced ads, following other streaming giants such as Netflix, HBO, and Disney Plus. Second, live sports are also increasingly part of CTV programming. The recent news by ESPN, Fox, and Warner Bros. to launch a sports streaming platform in the Fall is another step forward on the journey to 100% digital TV. And it's a huge step, because sports is one of the last Linear TV men's days. While ad spending has been suppressed in the past few quarters, we believe that ad spend reacceleration on CTV is inevitable. As viewership continues to shift to CTV, ad dollars will follow to reach and engage consumers where they are. And as the TV market becomes more digital and more fragmented, we believe the need for our technology also expands. These market dynamics, technology capabilities, and unique partnerships will continue to drive growth in 2024 and beyond. Next, I'm happy to share updates related to the Innovid platform and our focus on innovation. From the early days when we founded Innovid, we've used our technology to push the boundaries of what's possible. We've always been focused on setting the bar for what the future of TV should look like. And we continue to work closely with our clients to understand the issues they face, both big and small. This insight informs where we focus, and we are actively solving for some of the biggest challenges facing CTV today. Executing on our multiyear plan, we have continued to integrate our solutions on one powerful platform, with creative, delivery, and measurement capabilities working together to provide exceptional client value. And as a data-rich business with a unique CTV-first-gloss-platform dataset, we have the opportunity to provide even further value through the use of AI, with a focus on optimization across our full suite of products and solutions. An exciting point of how we're helping clients optimize was on display at Disney's Global Tech & Data Showcase event at CES last month. Powered by Innovid Technology, Disney Advertising introduced the dashboard for real-time creative optimization. The dashboard helps Disney's advertisers use real-time consumer insights, such as web or app conversion data to find which of the creative are most effective. This allows them to automatically shift more investments to the winning creatives, improving performance in real-time. While this is just one example, in 2024 we'll continue to invest in and release exciting new optimization capabilities, which we believe will solve challenges in the CTV ecosystem. We're currently engaging closely with several major brands, agencies and publishers to test these new solutions and believe that what we offer will vastly improve efficiency, enhance transparency and control and maximize ROI for our customers and partners. From Day 1 at Innovid, we have focused on innovation and we will continue to invest to bring new solutions to the market that provide meaningful value to brands, publishers, TV viewers and the ecosystem as a whole. In summary, we remain committed to expanding our margins and positioning ourselves for accelerated growth. As I reflect on where we were when we entered 2023, our team's hard work and dedication in navigating this uncertain macro environment is commendable. We have made a consistent progress each quarter in strengthening operational execution and improving financial performance, operational profitability and cash flow. I'm excited about our ability to make a meaningful difference in this industry and to generate value for our shareholders. With that, I'll ask Tony to take us through the numbers and provide some insights into 2024 expectations. Tony?
Anthony Callini: Thank you, Zvika, and good morning, everyone. As you just heard, our focus on driving profitable growth is evident in both the fourth quarter and full-year results. We're pleased to report record revenues in both Q4 and 2023, double-digit growth, our third straight quarter of adjusted EBITDA margin expansion and positive free cash flow for both the second consecutive quarter and full-year. It's been a year of hard work and transformation and it's exciting to exit 2023 and enter 2024 with the kind of momentum that we demonstrated over the last few quarters. Now, let me dig a little more into the numbers. Q4 revenue grew 15% year-over-year to $38.6 million. If we break that down further, ad serving and personalization revenues were up 15% year-over-year, while measurement revenues grew 14%. As a percentage of revenues in Q4, ad serving and personalization made up 78%, while measurement accounted for 22%. The growth in ad serving and personalization reflects the emerging stabilization of advertising spend and continued shift to CTV. In fact, CTV revenue from ad serving and personalization grew 14% over last Q4. While it's too early to tell if we are completely back to sustained traditional spend levels, we certainly experience a meaningful year-over-year improvement. As a reminder, Innovid's ad serving, and personalization revenue closely correlates with ad impression volume served through our platform. Within this category, CTV impression volume increased 16% as more impressions continued to transition to connected television, and represented 52% of all video impressions. Mobile video volume grew by 21% and represented 36% of all video impressions, while desktop volume increased by 5% and reflected 12% of all video impressions. Both mobile and desktop have been inconsistent in the first three quarters of 2023, and we were pleased to see healthy growth within mobile and return to more modest growth in desktop. All three of these devices represent consumers watching streaming applications, so it's also helpful to look at the total video impressions, which grew 16% overall in the fourth quarter. Growth in measurement revenue reflects the continued enhancement of our measurement capabilities to take full advantage of the valuable data set generated from the ad serving side of the business and the continued strength of the Innovid XP platform in the market. As Zvika mentioned, we expect our unique ability to combine creative, delivery, and measurement solutions to provide differentiated client value and be a catalyst for continued revenue growth. Now, moving on to costs and expenses, revenue, less cost of revenue, calculated out to 78% of revenue, improving from 75% in Q4 last year. These margins continue to improve as the business scales, reflecting the operating leverage embedded in our business model. Q4 total operating expenses, excluding depreciation, amortization, and impairment, totaled $37 million, an increase of 3% from $35.8 million last year, but supporting 15% more revenue than in 2022; employee count at the end of December was 466, which was 12% lower than where we finished in 2022. We remain committed to managing our cost base while protecting investments in high growth areas to drive improved profitability and long-term value creation for our shareholders. Q4 net loss was 1.7 million or a per share loss of $0.1. The outstanding common share count at the end of the year was 141.2 million shares. Adjusted EBITDA in the fourth quarter was $8.3 million representing a 21% adjusted EBITDA margin, as compared to just 9% in Q4 last year and 18% in Q3. In fact, each quarter in 2023 was an improvement over its equivalent quarter in 2022, and adjusted EBITDA margin grew sequentially throughout 2023. These improvements reflect the impact of sustained revenue growth, lower cost of revenues as a percentage of revenue, and operating costs that grew nominally over the period, demonstrating the leverage inherent in the operating model. For the full-year 2023, we reported revenue of $140 million, a 10% increase over 2022 on an as-reported basis, and a 6.5% increase on a proforma basis including the results of TV squared for all of '22. Because our target clients are the largest global brands, ad agencies, and publisher platforms, one of the metrics we talk about on an annual basis is core clients, which we define as an advertiser or publisher that generates at least $100,000 of revenue over the course of a year. As you can imagine, there can be active clients who may be over or under that $100,000 line in any given year, so we feel it's important to look at each year's group as its own cohort. During 2023, 177 clients met this definition as compared with 174 during 2022. With the macro pullback in ad spend during 2023, we experienced a number of core clients who dropped just below the $100,000 line but remain active and valuable clients. On a revenue basis, net revenue retention in 2023 from net 2022 cohort was 101%, and client retention improved to 91% this year. Full-year revenue, less cost of revenue, calculated out to 76% of revenue, consistent with 2022. Total operating expenses, excluding depreciation, amortization, and impairment, totaled $145.3 million, a decrease of 4% from $150.7 million last year. This reduction is a result of efficiency efforts throughout 2023 and the completion of the TVSquared integration. 2023 net loss was $31.9 million, or a per share loss of $0.23 cents. Approximately half of this loss was related to a non-cash, intangible asset impairment recorded in Q2. If you look at the two halves of 2023, we recorded a net loss of $27.5 million in the first-half of the year as compared to $4.4 million in the second-half of the year. Adjusted EBITDA for the full-year 2023 was $19.4 million, representing an improvement of $18.2 million as compared to the $1.2 million of adjusted EBITDA we reported in 2022. As a percentage of revenues, adjusted EBITDA margin was 14% this year as compared to just 1% in 2022 and 6% in 2021. While we acknowledge that there is still work to do, we are proud to have delivered both double-digit adjusted EBITDA growth and double-digit adjusted EBITDA margin in 2023. Turning to the balance sheet and cash flow, we ended the year in a strong financial position with $50 million in cash and cash equivalents and $20 million drawn on a revolving debt facility, with an additional $30 million available on that line. During the quarter, operating cash flow was $4.3 million and free cash flow was $2.2 million, an improvement of $6.9 million over the $4.7 million of free cash flow used in Q4 2022. For the full-year, operating cash flow was $12.4 million and free cash flow was $1.4 million as compared to a use of cash of $22 million of free cash flow in 2022, an improvement of $23.4 million. Finally, let me touch on our outlook for the first quarter and the first look at the full-year 2024. We are encouraged by the strong finish to 2023 and remain committed to our long-term financial target of 20 plus percent annual revenue growth and 30 plus percent adjusted EBITDA margin. We are confident in the underlying strength of our business, opportunities for disruption in the market, and our ability to grow revenue in a profitable way and see 2024 as a meaningful step towards those longer-term targets. In the first quarter of 2024, we expect total revenue in a range of 34 million to 36 million, representing 11% to 18% year-over-year growth. We expect Q1 adjusted EBITDA in a range of $3 million to $4 million as compared to $0.1 million in the first quarter last year. For the full-year, we expect revenue of $154 million to $162 million, reflecting 10% to 16% annual growth and adjusted EBITDA between $22 million and $28 million. We are proud of our accomplishments this year and exit 2023 with strategic, operational, and financial momentum. The team is focused on the significant opportunity in front of us to accelerate growth and continue to further expand our profitability margins in 2024. We believe we are well-positioned to become the essential technology infrastructure for the future of TV advertising and to experience outsized growth as ad spend returns to more historic levels. We remain committed to innovation and value creation for our customers and our shareholders. This concludes our prepared remarks. Zvika and I are now happy to take some questions. Operator, please begin the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from Shweta Khajuria from Evercore ISI. Please proceed.
Shweta Khajuria: Thank you for taking my questions. Tony, could you please comment on your full-year guidance, the puts and takes. What's driving your guidance in terms of your visibility right now, contributions from potentially up-sell, cross-sell that is baked in the guidance, and what you see in terms of the ad environment that's giving you the confidence with the 10% to 16% growth? And what would drive upside to this guidance? That's question one. And then the second question is if Zvika or Tony could talk about the new optimization solutions that Zvika was referencing. You were testing some new solutions. Any additional color you could provide on what they are and how that could impact your P&L, that would be great? Thanks a lot.
Anthony Callini: Yes, thank you, Shweta. And I'll try to take the first one, and Zvika can certainly add some color on the optimization. So, as we think about 2024, I think there's a number of factors that kind of play into our guidance. And we finished the year, well, we feel pretty strong with the double-digit growth and 15% growth in Q4. And I think as you look at the Q1 guidance, you're seeing that carry over from 2023 into 2024. So, we are seeing a lift and maybe a return to some stabilization in the ad spend. Certainly that's not consistent across all verticals, and I don't know if we're ready to say everything is completely back to normal yet, but we certainly see it strengthening from the prior year. So, you have that just general lift from more spend. And then you have the continued transition to connected television. And if you look at the things that really drove revenue performance this year, there is three pieces of it. It was CTV volume; it was measurement, which measurement grew nicely double digits in the fourth quarter. And then we were a little bit surprised with -- mobile was a pleasant surprise for us, albeit kind of a softer comp in Q4 for mobile. But those are the things that we're seeing carry over. We've talked a lot about the investments that we've made in the sales team, and a lot of that was done in the second-half of last year. So, we're certainly baking some of that into the guidance going forward for this year. Although as it pertains to new logo acquisition, sometimes those are longer sales cycles, so we'd see that building throughout the year. Macro conditions, like live sports, I think the transition to live sports and more of that on streaming is certainly a great tailwind for us. More ad-supported video on demand, these are all the tailwinds that I think we're looking to take advantage of. And then as we look at potentially some things to be mindful of that create some amount of uncertainty, with the election in the second-half of the year, that that is something that can have an impact on brand spend over that period, so we're mindful of that. So, there's certainly a number of puts and takes. I would say if you break it down into thinking about the specific things of spend, cross-sell, up-sell, placing, all of those play a part. We've certainly seen a low to mid-digit uplift from pricing that we'd expect for the year. Cross-sell is an opportunity that I think we'll build throughout the year. And I would say the strongest feature that's built into our guide, and this is just the general uplift and sending in some of the stronger macro trail winds. And Zvika, I don't know if that answers your question. I'll turn it over to Zvika for the optimization --
Shweta Khajuria: Yes, that was helpful. Thank you.
Zvika Netter: Thanks, Tony, and hey, Shweta, good morning. Thanks for joining. On the optimization, thanks for asking, it's definitely something we're extremely excited about. So, beyond accelerated growth, free cash flow and profitability from a product and company strategy, 2024 is absolutely going to be the year of optimization and data-driven algorithmic optimization across the board. As we shared in our Investor Day, it is something we already started investing in 2023. That market should definitely expect releases throughout the year with optimization-related features. There's one that we believe, end of last year and actually Disney shared that on stage at CES, and this is real-time optimization of their creative for specific Disney campaigns. This is Disney selling this technology and enabling it in their dashboard to the media buyers, because Disney is also a customer as a brand. This is, Disney is a publisher, as a seller, it's something that is available in their dashboards that advertisers that run their creative can upload multiple creatives into the Disney platform and optimize based on real-time data that is connected to outcomes. And what's very unique of this, and this is -- we're very excited about the partnership because Disney is very excited about it in terms of sharing this with their customers, is that it can use publisher data, first-party data. So, this is data that the seller doesn't want to go outside of their platform, but they can trust a partner, like Innovid, because there is no friction or competition because we're not in the media business, to optimize against those data points to get the end customers, to get the advertisers better performance, and to prove their performance on the Disney platform. So, that's something that's already launched, and live, and generating revenue. And those are already in the guidance, in the plans for -- like those type of creative optimization, they keep getting smarter and smarter. It still falls under the creative. We believe that there is still a lot of opportunities in terms of frequency, reach, workflow, supply path optimization. There's plenty of opportunity to deploy this type of data-driven optimization in other areas of the industry, so based on our customers' pain points. So, we definitely are committed to release those in the year. So, from an investment perspective, it's already in the P&L. From an upside perspective, it's not something that we're counting on this year because these will be initial launches. And sometimes some of them will be in alpha and beta, so we don't want to rely on them for the revenue. But we're absolutely committed to release them into the market. So, we should definitely see -- I would definitely want to see significant revenue from these products next year, for sure.
Shweta Khajuria: Thank you, Zvika. Thanks, Tony.
Zvika Netter: Thank you.
Anthony Callini: Thank you.
Operator: Our question comes from Shyam Patil from Susquehanna. Please proceed.
Unidentified Analyst: Good morning. This is [Aaron] (ph) on for Shyam. Congratulations on the strong results, and thanks for taking our question. Maybe for starters, is there any additional color you can share on how January and February have looked from an advertiser demand environment, maybe compared to the fourth quarter, any additional color on quarter-to-date trends? And then we've got a follow-up.
Anthony Callini: Yes, and I can take that one. So, I think what we're seeing is certainly a continuation of some of the improved activity that we saw in Q4 carrying over into Q1. And I think that's reflected in the guidance that we gave for the first quarter from a growth perspective. And I think that first quarter growth was, say, a lot into 18% year-over-year, so midpoint-ish of 15% growth which is what we ended up growing in the fourth quarter. So, I think that the -- I would say that the benefit of the timing of this call, the year-end call being a little later in the quarter, as you said, more data point, right. When you meet with Yuval and when we share guidance. So, I think we're seeing things stabilize. As I mentioned before, as you look at the verticals, there's still some unevenness, right. And if you look at things like CPG, pharma, those are performing well. We really haven't seen a bounce back in finance, tech, insurance, those sorts of things. So just think about the broader economic market and how those companies are performing, and we're seeing the same thing there. So, I think there is continued, maybe, optimism or certainly not certainty, but we feel better about it. But I still think there is some room for the market to bounce back altogether. And we're just trying to balance all those conditions as we think about our guidance.
Unidentified Analyst: Got it. Thank you, Tony. And then, just a follow-up here, obviously, one of the big focuses for the year in digital ads is Google Chrome cookie deprecation. How are you thinking about any potential impact on any of its business from cookies being deprecated and maybe signal off sort of more broadly in the digital ads ecosystem?
Zvika Netter: Sure. The nice thing about CTV and now connected TV is more than 50% of our activity and revenue, all of it is video, all of it is TV, but on CTV cookies never existed. What's nice about it and it's good for Innovid, because it increases the need for a platform, neutral platform like Innovid is the fact that it's a very fragmented. In a way there's no standard. There's nothing the industry didn't come together and say, let's drop a cookie. And it's almost a collection you could think of it of a collection of walled gardens where Roku have their own operating system and hardware and Samsung have theirs and some apps like Hulu and Netflix and Disney, they all have their own technologies and they're not looking to share something like cookies that will go across devices and across. So, it's a fragmented environment with close to no standards and a collection of walled gardens. So, it cannot be just Google owning a lot of stuff like they do, where they can have value while taking out the cookies to retract value maybe to other players. That does not exist in CTV. So, basically, so nothing is going away and we've been at this for many, many years. So, the fact that we're the ad server and we actually physically stream the ad, so the creative of the ad, let's say GM is a customer. So, when you see a GM ad in the U.S. on a CTV, we're physically streaming into your Samsung TV, Roku device inside Hulu app. So, we have a direct connection to your household. So, in terms of we have a front seat, let's put it this, so whatever data is available to have access to this data and store it to build our own household graph, which is called Innovid Key. So, we have our own identity solution. We partner with other identity providers, but there's nothing that's going away from the CTV ecosystem that's going to change anything dramatically during this. So, that's not an exposure for us and I would say it's actually an advantage that Innovid have in the CTV market.
Unidentified Analyst: Very helpful. Thank you, Zvika.
Zvika Netter: Thank you.
Operator: Our next question comes from Laura Martin from Needham & Company. Please proceed.
Laura Martin: Good morning, guys.
Zvika Netter: Good morning.
Laura Martin: Good morning. So, Zvika, hi, so Zvika for you, I'd like to drill down into competition. So, I know your primary competitor is Google. And I'm wondering if with all of their focus on GenAI right now and the pressure they're under to sort of catch up the ChatGPT and OpenAI. I'm wondering if that helps you take more clients or if the rise of GenAI, which even you guys have integrated more and more AI into your product. So, competitive landscape over the next three years fast towards them because they are in the press every day with some mishap in AI, which means everyone knows, all their clients know that they are sort of on AI leaders. So, can you talk about the competitive landscape vis-à-vis your primary competitor, Google? And then, Tony for you, I wanted to better understand, you sort of talked twice on this Disney thing with creative at CES on this. And so, my question is how do you get paid for that? Is that an upsell to your ad insertion or is it free with your ad insertion or is it added on to the linear measurement? Like how do you get paid for that extra, creative piece or is it just something that you give free and it's like a marketing talk for somebody to pay your $0.30 per ad serving per 1,000? Thanks guys.
Zvika Netter: Thanks, Laura. And thank you for the AI question, always an exciting topic. I wonder if you said AI in the entire script, I'm not sure because we're being pretty careful not to overuse it because to these days everything is AI. But clearly, you're talking about big tech. So, anywhere between Amazon and Google and of course Microsoft and Facebook, there's almost like an arms race for having the most advanced AI, which I have to say as a citizen of the world is rather scary on those levels, right, because they're pushing the frontiers of AI not to do better ad serving or better ad trafficking or even optimization, right. It's to a much, much, much higher level. So, in our modest world, the fact that a lot of energy is going towards that, and I can only repeat, it's public information that in terms of some of these organizations, definitely Google had layoffs, another wave of layoffs and you could see where they're investing and where they're investing less. So, actually in terms of sales and marketing efforts around some of their tech infrastructure, I think they had some de investment, let's put it, they invest less. That is absolutely great for us. I feel it's kind of a symbol that the fact that the market is kind of saturated from a Google perspective in terms of the ROI and they are absolutely losing shares in different fronts. We're on the Azure part, they have DSP front, they have several fronts. So, from us, from our perspective it's good news. And the fact that though I would say we're not day-to-day head-to-head with them, yes, we're taking customers of that platform. The decision to move to Innovid is beyond sales and relationship and marketing. It's a really strategic decision in terms of where you want your data to be. How do you want to align yourself with a partner? In an interesting way it's connected to AI because data is the fuel to AI. So, let's say you're the largest auto manufacturer, largest CPG manufacturer, have a lot of data or a big publisher. Do you really want to -- you want to own this data, how comfortable you are that all your data, this year all your advertising and marketing data will be in the hands of one of the big tech that God forbid might be used for other things. So, that concept is reviving our increase of market share in the last eight years. So, I think that will accelerate it. The antitrust that seems to be something behind us, it's not the focus on the neutrality and the need to separate platform and acting and manipulating the platform is still a huge deal for advertisers. So, we're very optimistic on that front and we see no reason for this to reverse. And in terms of our usage, back to Shweta's question in terms of I'll call it optimization and some of it is driven with AI. We already shared some exciting things on Investor Day in kind of alpha demo mode. Some of these things are now in beta in market live and I cannot wait to share with you and the rest of the audience some of those once they'll go into general availability to show where we're actually moving the needle for our customers and helping them reduce waste, reduce carbon footprint and achieve better outcomes with less, with a smaller investment. So, I think, I believe the market would be excited about this and looking forward to share it throughout the year. And Tony, I think you had the other question about digital.
Anthony Callini: Yes, I can certainly take that. Yes, thanks Laura. This is pretty exciting for us and this concept of real time measurement we think can really make a difference. And so, the way those arrangements works, it is a measurement arrangement as we've talked about before. There's a component of measurement that's like a SaaS model where it's fixed and there's also a provision for upside based on usage. So, where we see this making a difference for us is this functionality we think will drive more usage just because of its utility and its value for our customers of again the real time measurement and information that's going back to them. So, that's kind of how the economics will work around. Again, there's a fixed piece which is like a SaaS model and then some usage based around the actual measurement and there is some real time creative in there as well. So, this kind of checks all the main boxes of what we're doing from the ad serving, the measurement and then the DCO or creative side.
Laura Martin: Thanks very much guys.
Anthony Callini: Thank you.
Operator: Our final question comes from Matt Condon from JMP Securities. Please proceed.
Matthew Condon: Thanks for taking my question. Two, if I could. Maybe just on the measurement side, revenue accelerated nicely in the quarter. Can you just talk about the drivers there and what we can expect heading into 2024? And then also last week you announced the launch of a self-service feature within your CTV composer. Just stepping back, can you talk about what needs to happen in order for more SMB budgets to shift over to CTV? Thanks.
Anthony Callini: Yes, sure. I can take the first part of that about measurement. Yes, we had a nice quarter for measurement in Q4. And as I just mentioned to Laura, I mean that model is there's a -- it's a blend of SaaS or or user license fee, if you will, or a software usage fee that's fixed and then some upside on top of that. So, I think what we're seeing is kind of both of those increasing where you know, as their base grows. The SaaS model typically builds on itself over time as you add more customers and you get that concept of recurring revenue, and then you have to effectively kick at on top of that, which is the usage base. So, I think for us, measurement's been a big area of focus. With the changes we made in the go-to-market organization, I think we're having successful conversations with our customers around more of a holistic approach for them, including ad serving and measurement. So, we would expect that base to continue to grow. And things like again, with the conversation we just had about the real-time measurement, the more that we can connect these capabilities together, we see the usage going up. So, I would expect kind of both of those parts of it to continue to increase over the course of the question over to you. Zvika, maybe I'll turn the second-half of the question over to you.
Zvika Netter: Yes, absolutely, absolutely. I was on mute, so I was midway already. And so, thanks for the question. So, we are specifically on CTV Composer. It's a critical, I don't want to say critical, it's a very unique part of -- piece of technology that Innovid have. It's definitely critical to the future. You asked about the Dash and SMB, I would say I still feel it were the early days of really advanced CTV advertising. We released this, the core offering, several years ago, and it would say to this day, I believe we're the only company in the world that offers you a tool that you can create interactive CTV ads, actually engage with the remote and everything, at scale that can run across self-service, that can run across multiple devices and platforms. What is standard these days in HTML, you can take any document or design tool and save as HTML and publish it on the web. In CTV, there is no such thing as HTML on purpose. As I said earlier to one of the questions on cookies, CTV is still kind of a multi-wall garden. Everybody wants to get a bigger share, so they're building walls around their technology, their audience, depending on what they're selling. If you're selling a device like Roku or Samsung or Vizio, or you sell content like Disney or Netflix, audiences, et cetera. So, everybody's trying to -- so there's no standards. So, we have the only tool that can actually create an interactive ad that will work on Amazon Fire, on Apple TV, or Roku with the different remotes, et cetera. So, it's very, very advanced technology. It has an SDK that fits actually on the device in the app and an offering tool. So, in general, regardless if the advertiser is a huge CPG or an SMB, it's a very unique piece of technology. So, I believe, and by the way, it was used, we don't -- we will see it later on, and maybe in a press release, but this technology was used in the largest sports event in the U.S. that was recently aired, if I can be within the boundaries of what we can say, with some of the large advertisers that ran there. So, this is live in production at massive scale. I still feel it's early days, even for the large advertisers to use like click to buy, move to cart. Want to watch more? Send me a coupon. There's plenty of things you could do using this tool. I still think we're at a very small percentage of users. So, there's a huge upside there even with the largest advertisers. As it goes to SMBs, I feel the platforms like YouTube the DSPs are the ones who will gain early adoption with the SMBs, because you don't need massive scale. You can go to a single platform. Where Innovid really shines is when you need to run across multiple wall gardens, let's call it this way. And in that case, that's where our unique proposition. I absolutely see a world where we'll have those smaller advertisers use these types of technologies. But just to give you a sense, you take the top 200 TV advertisers in the U.S., they represent about 75% to 80% of the spend. So, the actual amount of dollars that SMBs, even medium is really marginal. The real big needle movers are the guys who, sorry, the brands who spend billions of dollars on television, and that'll be large CPGs, large auto, pharma, telco, and half of the top 200 are already Innovid customers. Our focus first and foremost is to get the other half, because then we can get to a point that we have more than 50% market share, and we'll be actually bigger than Google, which is hard to believe, but we're actually on a journey to achieve that, and that's where we laser focused, not on the mid and long tail.
Matthew Condon: Very helpful. Thank you.
Zvika Netter: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the floor back over to Zvika for closing comments.
Zvika Netter: Thank you, operator, and thank you everybody for joining. As you heard, and thanks for those who congratulated us on the quarter and the year, definitely 2023 was started as a challenging year. I'm extremely proud of the team and with our -- we added more than half of our executive team, our executives that joined us this year. They got on board, some of them three months ago, some of them like 26 months ago, and some of them like the chief commercial officer a year ago. The beauty of it in 2023, the 2024, everybody's on board, everybody's fully aligned. The goal of everybody joining us was not to deliver Q4, the goal was to deliver 2024, 2025, really accelerated growth, double-digit growth, pushing the company towards Rule of 40 and above, positive free cash flow, and at the same time, as we just spoke about, continue our commitment to innovation, keep releasing products that the market needs, that will basically create a better ecosystem for the advertisers, of course, the agencies, the brands, the publishers, and the viewers themselves, because their time is dedicated to making this industry so successful. So, very proud, very excited about what's to come. And thank you for being here and listening and following the company. Wish you all a beautiful 2024, and a great day. Thank you very much.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.